Operator: Good day, everyone, and welcome to today's AMG Q3 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note, this call is being recorded, and I will be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Michele Fischer. Please go ahead.
Michele Fischer: Welcome to third quarter 2024 earnings call. Thank you for joining so late in the day. Joining me on this call are Dr. Heinz Schimmelbusch, the Chairman of the Management Board and Chief Executive Officer; Mr. Jackson Dunckel, the Chief Financial Officer; Mr. Eric Jackson, the Chief Operating Officer; and Mr. Michael Connor, the Chief Corporate Development Officer. AMG's third quarter 2024 earnings press release issued today is on AMG's website. Today's call will begin with a review of the third quarter 2024 business highlights by DR. Schimmelbusch, Mr. Connor will comment on strategy, Mr. Dunckel will comment on AMG's financial results and Mr. Jackson will discuss operations. At the completion of Mr. Jackson's remarks, Dr. Schimmelbusch will comment on outlook. We will then open the call to take your questions. Before I pass the call to Dr. Schimmelbusch, I would like to expressly refer you to our statement on forward-looking statements and the meaning thereof as we have used at all previous occasions and we will use at this earnings call and which explanatory statement has been published as part of our financial presentation and on our website, all in connection with this earnings call. I will now pass the floor to Dr. Schimmelbusch, AMG's Chairman of the Management Board and Chief Executive Officer.
Heinz Schimmelbusch: Thank you, Michele. AMG's EBITDA continued on a steady growth trend in Q3, during which we achieved $40 million of EBITDA. AMG Technologies delivered a strong performance compared to Q3 '23 with excellent results in a growing market. Our engineering unit secured $131 million of order intake and had a order backlog as of September 30 of $367 million, the highest in AMG's history. This result continues to support the rationale of AMG's diversified portfolio by demonstrating our earnings power despite the challenging market conditions and depressed price levels in our lithium and vanadium segments. I will hand it over to Mike to speak about our growth initiatives. Mike?
Michael Connor: Thank you, Heinz. In terms of our growth projects, we are now in the finalization stage for our major lithium projects. Our Brazilian lithium concentrate plant expansion is complete and ramping. We expect to produce a full 130,000 ton annualized capacity before the end of the year. On September 18 in Bitterfeld, Germany, we hosted the grand opening of Europe's first lithium hydroxide refinery. Overall, the lithium industry is still in its infancy and experiencing the type of volatility inherent in the advent of new markets. Despite these short-term challenges, we are confident in our current position and remain enthusiastic about the opportunities presented by the evolving market dynamics. The industry's future looks bright as lithium is poised to play a crucial role in the transition to a cleaner, greener future. The lithium industry continues to experience remarkable growth, driven by the global shift toward renewable energy and electrical vehicles. As countries prioritize sustainable energy solutions, lithium-ion batteries are becoming more and more essential to everyday life. Conversely, on the supply side, there are substantial delays and interruptions. And not only new investments, but also contraction in the existing supply chain because of current unsustainable price levels. Specifically, it is estimated that over 6% of the existing global lithium production available for 2025 has already been impacted due to curtailments associated with the low market prices, with Australian producers being hit hardest. Short-term fluctuations are impossible to predict. However, these supply/demand dynamics have a relatively predictable outcome. The production cost curve for existing and potential producers indicate that a higher long-term price level than the current position is required for a sustainable lithium industry. Consistent with our progress in the lithium space, we've completed our major capital investments in the vanadium segment, including doubling our production capacity in Ohio and completing the construction of our vanadium electrolyte plant in Nuremberg, Germany. In our vanadium business, we are also experiencing what we consider to be unsustainable long-term supply/demand dynamics. At current price levels, many of the existing vanadium producers are unable to maintain their production. Global steel production is on an upward trend, especially in developing economies. This traditional demand will continue to support the vanadium market. Additionally, increased investment in infrastructure and renewable energy products, especially energy storage is expected to boost demand for vanadium, particularly in regions focused on energy transition and sustainability. As with the lithium space, the production cost curve for existing and potential producers indicates that a higher long-term price level in the current position is required for sustainable vanadium industry. Our Technology segment is benefiting from the current strength in the aerospace sector. Overall, the aerospace sector is on a steady upward trajectory, driven by a combination of recovery efforts, technological advancements and a focus on sustainability. As these trends continue to evolve, they are likely to shape the future landscape of the industry. Innovations in aerospace technology, such as our advanced technologies and materials are creating new opportunities for aircraft manufacturers and suppliers. The industry is rebounding from the impacts of COVID-19 with increasing passenger air travel and cargo demands. Airlines are ramping up operations, leading to higher aircraft orders. Additionally, there's a growth emphasis on sustainability, driving demand for fuel-efficient and environmentally friendly aircraft, directly impacting the demand for our products and services. Also within the Technology segment, AMG LIVA is engaged in the execution of several battery projects to optimize the energy management of industrial plants and incorporate renewable energy sources. AMG LIVA is first third-party commercial hybrid energy storage system, now operational at Wipotec GmbH, a leading global provider of intelligent weighting and inspection technology located in Southern Germany. LIVA's energy storage system integrates lithium ion and vanadium redux flow batteries with AI-driven efficiency, enhancing the power system at Wipotec's facility. In summary, we've completed transformational expansions across our Critical Materials portfolio. We remain a low-cost producer and maintained a diversified portfolio, which allows us to mitigate the most significant risk associated with market fluctuations. As a result, we are well-positioned to capitalize dramatically as our markets align with the anticipated outcomes of the global energy transition. I will now pass the floor to Jackson Dunckel, AMG's Chief Financial Officer. Jackson?
Jackson Dunckel: Thank you, Mike. I will be referring to the third quarter 2024 investor presentation posted today on our website. Starting on page five of the presentation, I'd like to reiterate Heinz's comments about the strength of the EBITDA performance this quarter, given the low lithium and vanadium prices. The rest of AMG's portfolio demonstrated significant strength. Net loss attributable to shareholders for Q3 2024 was $13 million. This net loss figure was the result of an inventory cost adjustment in our Lithium segment, which accounted for $18 million of pretax earnings deduction. Moving on to page six, you can see the price and volume movements for the key products represented by arrows, which I will go into in more detail as we review the segmental slides. On page seven, you'll see our leverage and valuation figures for the current quarter to the year-end 2023. It's important to note that we've invested over $650 million over the last four years for our lithium and vanadium expansion projects, which has impacted the return on capital metrics displayed here. Nevertheless, we have significant liquidity to support our future growth opportunities. Now, I'm going to review our three segments, and I'll start with AMG Lithium, which is shown on page eight of the presentation. On the top left, you can see that Q3 2024 revenues decreased 22% versus Q3 2023 to $49 million. This was driven mainly by the 67% decline in lithium market prices versus Q3 2023, but was offset by a 42% increase in lithium concentrate production as our new processing plant in Brazil continues to ramp up. Adjusted EBITDA for the third quarter 2024 came in at $10 million down 65% from Q3 of last year due to the decline in lithium prices. The quarterly CapEx shown at the bottom left of $19 million was driven by our two expansion projects in Bitterfeld, Germany and Brazil. Turning now to page nine of the presentation, which shows the AMG Vanadium segment. AMG Vanadium's revenue for the quarter decreased 13% to $151 million compared to Q3 '23 due to lower sales prices across the segment and lower volumes of ferrovanadium, partially offset by increased volumes in chrome metal. Q3 2024 gross profit decreased by 34% compared to Q3 2023, largely due to the decline in revenues. Q3 2024 adjusted EBITDA of $11 million decreased 29% compared to Q3 2023. This is primarily driven by the 21% decrease in market prices for ferrovanadium compared to the third quarter of '23. In terms of the sequential drop in EBITDA versus Q2 '24, AMG Vanadium sold fewer tons of ferrovanadium in the current quarter as the production facilities had a number of planned maintenance outages. In addition, our chrome and aluminum businesses were affected by our normal lower August production volumes. Moving onto AMG Technologies on page 10. Starting on the top left, you can see that Q3 2024 revenue increased by $24 million or 19% versus Q3 2023. This improvement was driven by higher sales volumes of antimony and silicon and higher net sales prices of antimony. Adjusted EBITDA of $19 million during the third quarter was more than double the same period last year. The increase was primarily due to higher profitability in antimony and graphite. AMG Engineering signed $131 million in new orders during Q3, driven by exceptionally strong orders of remelting furnaces. Order backlog was $367 million as of September 30, a record high. AMG Silicon began operating two of its four furnaces in March of 2024. As we plan to run two of four furnaces for the remainder of the year, the results of AMG Silicon remain excluded from EBITDA. Turning now to page 11 of the presentation. On the top left, you can see that AMG's Q3 '24 SG&A expenses were $47 million versus $43 million in Q3 2023. The increase was largely driven by the increase in headcount in our lithium, engineering and [indiscernible] businesses associated with our strategic expansion projects and higher professional fees relating to additional regulatory requirements. AMG's net finance cost was $8 million in Q3 2024 compared to the $9 million in the prior period due to higher non-cash intercompany foreign exchange gains in the current quarter, partially offset by increased interest costs associated with the new $100 million incremental term loan issued in April. AMG recorded an income tax expense of $2 million in Q3, 2024. This expense was mainly due to $7 million of deferred tax expenses in our German businesses related to losses that do not qualify for recognition as deferred tax assets. This expense is offset by the $3 million tax benefit related to the statutory tax rates applied to AMG's negative profit before tax. In addition, there was a $2 million deferred tax benefit related to a favorable foreign exchange impact on our Brazilian tax of positions. AMG paid taxes of $5 million in Q3 2024 compared to tax payments of $33 million in Q3 2023. The reduced cash payments in the current period were largely a result of the decrease in profitability year-over-year. Turning to page 12 of the presentation. You can see on the top left that cash used in operating activities was $2 million in Q3 2024 compared to cash from operating activities of $25 million in the same period of '23. This is primarily due to lower profitability in the current quarter. AMG ended the quarter with $490 million of net debt. And as of September 30th, 2024, we had $272 million in unrestricted cash and $200 million available on our revolving credit facility. As such, we had $472 million of total liquidity at the end of the quarter. That concludes my remarks. Eric?
Eric Jackson: Thank you, Jackson. Lithium and vanadium prices weakened quarter-over-quarter and sequentially. However, due to our low-cost position in both segments, AMG Lithium and AMG Vanadium delivered positive EBITDA in the third quarter. Our third segment, AMG Technologies, reported exceptional results driven by our market leading position in our engineering businesses and strong results in our diversified mineral operations. Our Brazil lithium operation produced in excess of 26,000 metric tons of lithium concentrate in the third quarter and delivered 22,731 metric tons SIF China. The average realized sales price was $8.70 per metric ton and the average cost of production was $4.50 per metric ton, both SIF China. Production consistently increased during the quarter and our expansion is successfully proceeding on our previously announced schedule. We expect to reach full 130,000 metric ton annualized capacity by year-end. AMG Vanadium's Zanesville and Cambridge spent catalyst processing facilities lead the industry in terms of cost structure and environmental performance. Our ferrovanadium results for the third quarter, however, negatively impacted by average prices being lower by more than 20% quarter-over-quarter and unabsorbed operating costs in Cambridge relating to the relining of our secondary furnace and completion of a number of melt shop maintenance projects. It's worth noting, however, that the relevant ferrovanadium index price has increased by 10% in the month of October. Boeing's work stoppage, which has been recently resolved, impacted AMG's titanium aluminide sales volumes during the quarter. However, this was offset by increased sales volumes for the rest of the unit's titanium alloy production. In our Technology segment, AMG engineering signed $131 million in new orders during the quarter, driven by very strong orders for remelting furnaces, and as mentioned had an order a record order backlog of $367 million at the end of the quarter. Our other operating units under the AMG Technologies umbrella, especially antimony, also performed extremely well in the quarter and made a significant contribution to the $10 million quarter-over-quarter increase in AMG Technologies EBITDA. As always, our overriding operational objectives are to be the low-cost, highest quality, and most environmentally responsible producer of all of our products. This enables us to produce positive financial results even in the trough of our various end markets. I'd now like to pass the floor to Dr. Schimmelbusch, AMG's Chief Executive Officer.
Heinz Schimmelbusch: Thank you, Eric. Due to the strong operating results to date, including exceptional results from our antimony operation, we are increasing our EBITDA guidance for 2024 from quote exceed $130 million EBITDA unquote to exceed $150 million EBITDA. As the lithium prices have weakened further and AMG's antimony contributions normalize, we expect AMG's adjusted EBITDA to exceed $130 million in 2025. Due to the uncertainty related to the commissioning and ramp up process as well as the impact of the write-downs in the value of our inventory to the current low market prices, we have excluded any expected contribution from our lithium hydroxide refinery in Bitterfeld, Germany from our 2025 guidance. Operator, we would now like to open the line for questions.
Operator: At this time, we will open the question-and-answer session. [Operator Instructions] And our first question comes from Ephrem Ravi of Citigroup.
Ephrem Ravi: Thank you. I've got three questions, but this is on three different businesses. So, if I may take it in turn. Firstly, can you give a sense of price sensitivity to earnings on antimony? I understand that you've got about 10,000 tons of antimony trioxide production. And so, is it as simple as every $1,000 per ton change in the antimony trioxide prices, $10 million to gross profit? Or is there a different scale that we should use?
Heinz Schimmelbusch: Well, we have very stable antimony business with free cash flow contributions year-over-year. But in this year, due to significant rises in the antimony price for all the antimony products, we have more than double our normal EBITDA contribution from that business. We expect that to normalize, but that's a thing of the future. We assume this not to continue.
Jackson Dunckel: However, Ephrem, it is a processing business. So, it's not a…
Heinz Schimmelbusch: Conversion business.
Jackson Dunckel: …it's a conversion business. So, you can't take a thousand -- there's no scale. We'll make a margin over what we buy it for.
Ephrem Ravi: Okay. So, a lot of the price or the earnings increase is essentially low-cost inventory that you have, which then you sell on the higher prices, prices rise. Would that be a…?
Heinz Schimmelbusch: You replace low-cost inventory as time goes by with higher cost inventory.
Ephrem Ravi: Okay. Thank you. And secondly, on the engineering orders increasing very substantially and record order backlog. I mean, the auto industry especially in Europe is quite weak. So, is it entirely aerospace that is kind of leading to that big increase in the vacuum furnaces business?
Heinz Schimmelbusch: It is totally -- automotive plays not a role here significantly other than service businesses for heat treatment services, which are very predictable and constant. The aerospace is the customer -- and in particular, the aerospace engine industry. We are critical suppliers to the engine to the aerospace engine.
Ephrem Ravi: Okay. Thank you. And thirdly, on the Bitterfeld expansion, obviously, you have both taken down your CapEx guidance for next year to $100 million and also you said that you're not including Bitterfeld contribution in your EBITDA guidance for next year. So, is it fair to assume that the step up from 20,000 tons to 100,000 tons has been put on hold for now, or is it still kind of in place at the right time which probably is not in the near-term.
Heinz Schimmelbusch: Well, it was never put on hold formally, because it was never -- there was never an investment decision more than the 20,000 ton first module. So, we didn't have to correct the decision because it was never taken. We are focused on the first module to complete the commissioning and modification and ramp-up of the first module. That's our priority. And we, of course, would consider expansion of adding other modules if the market demands that.
Ephrem Ravi: Okay. Thank you. Those were my questions.
Operator: Thank you. Our next question comes from Martijn Den Drijver of ABN AMRO.
Martijn Den Drijver: Good evening, gentlemen. Martijn Den Drijver of ABN AMRO. My first question would be with regards to the lithium hydroxide plant. You mentioned uncertainty relating to decommissioning and ramp-up process. What's changed, because previously you were quite confident about both the processing, the stepping up -- ramping up of the process, but also the commissioning and the acceptance of clients. So, what has changed. And in relation to that, so that would be question two. Can you provide some guidance about the profitability of the lithium hydroxide conversion plant based on today's market circumstances.
Heinz Schimmelbusch: Mike?
Michael Connor: Yeah. Thanks, Martin, Appreciate the question. So, with the successful construction of the plant, we're very happy where we stand, and we're transitioning to the next phase, which is the commissioning phase. That will be complemented by the qualification of our customers and the final ramp-up of the plant. Following our latest assessment, we've adjusted the commissioning and ramp-up schedule to now expect to reach full capacity in the second half of the year. I would say, as with any construction phase, the commissioning ramp-up phase of a new plant always faces challenges in certain degree of timing uncertainty. We're experiencing this process from commissioning and ramp-ups from our recent successful plant deliveries, including Spot 1, Spot 1 plus the $325 million plant in Ohio. As with those projects, we're progressing through this in typical start-up procedures, and we're confident in establishing Bitterfeld as a cornerstone of our growth strategy. Switching to the second part of that question. I'm not in to get too deep into the accounting technicalities, but we had purchased a significant amount of inventory to ramp-up the plan. Because the price drop in that inventory, what we do is we write that inventory to what's called net realizable value. When you go to net realizable value, you leave a margin in the value of the inventory. So that when in 2025, we sell that inventory, we won't recognize a margin because the product -- the inventory that we have was only written down to the cost plus margin. So even though we continue on a confident schedule for commissioning, qualification, and ramp-up, once we do that because of the price drop and the inventory write-downs that we've incurred, we won't see a significant amount of profitability from that inventory in 2025.
Martijn Den Drijver: Just to follow-up. So, the customers are still there, your MOUs and off-take agreements are in place. It's just a ramp-up phase that is now taking a little bit more longer than you expected. Because did I understand you correct that you said, commissioning in the first half of 2025?
Michael Connor: Yeah. So, to answer your question, customers are still there. We're highly confident in the market, and we're commissioning qualification and ramp-up and expect to reach full capacity at some point in the second half of 2025.
Martijn Den Drijver: Okay. I have another accounting question. But I'll take that offline with Jackson, if I may. My second question would be on the Brazilian conversion plans. My question would be, given the low lithium pricing environment and the uncertainty about what that price may do, what are your current thoughts on that Brazilian conversion plan? Should we still take that as a near-term reality into account, or is that now more of a let's wait and see a little bit how the market evolves type of project?
Heinz Schimmelbusch: We have as you know we have prepared the Brazilian conversion plant in a very advanced way. We have completed the FEL3 feasibility study, which leads us to the gate of basic engineering. We have also advanced the financing structure, the architecture of project financing for this plant with the banking institutions in Germany, which imply a government guarantee. We have done work on-site selection. And recently, we are considering to expand the plant eventually to make room for other spodumene suppliers in Brazil, which is logical. And that implies the work on additional site selection and feasibility work. Not directly related to the market, but we are in no rush to start here the heavy investment work as this optimization feasibility study is underway. I think we don't want to make a mistake here. And therefore, we go through this in a very systematic way.
Martijn Den Drijver: I understand. Thank you. And just a small follow-up on this one. If you do decide to take the decision to move forward with this plan, I'm still accounting on then a two-year construction period. Would that be correct?
Heinz Schimmelbusch: That's about right. Please don't think that we are reconsidering this plant. This plant is a firm strategic cornerstone of our future development of our lithium value chain. It is very important. And so don't think that we are delaying or considering. We are just optimizing right now.
Martijn Den Drijver: Okay. Clear. And then my final question is on AMG vanadium. I'm not quite sure whether I understood it correctly, but there have been some maintenance outages. Would it be fair to assume then now that the Boeing strike is over, although that's we're on the 6th November again, and those maintenance outages will not reoccur in Q4 that the Q4 performance will go back to normal levels in terms of EBITDA?
Michael Connor: We had planned maintenance in our ferrovanadium production. The Boeing, we sell with an end market of the aerospace primarily from our Nuremberg operation, which is vanadium aluminum and titanium aluminides. But our ferrovanadium operation has regular maintenance in this low market, we take some opportunity to extend that a little bit and make sure we do everything correctly. And we are essentially running close to back at normal run rate levels.
Martijn Den Drijver: Okay. So that applies to both Cambridge 1 and 2 and the Nuremberg facilities?
Michael Connor: Yeah. There might be a little delay on some of the aerospace titanium aluminides catching up, but yes, it's both of them.
Martijn Den Drijver: All right. Thank you very much. Those were my questions.
Operator: Our next question comes from Stijn Demeester of ING.
Stijn Demeester: Yes. Stijn Demeester of ING. Thanks for taking my questions. Also, I have a couple, so I will ask them one by one. The first one is a clarification on the '25 guidance and the rationale for not including because I still don't fully understand -- pardon me, I may be too slow, but there's a delay in ramp-up to reach full capacity in the second half. Is that due to uncertainty over the customer qualification process, or are there other internal issues that lead to this delay?
Michael Connor: Yes. So just to reiterate that, maybe I went through a little quick. We consider -- we ramped up three very large projects. We're very familiar with the process. And commissioning -- the nature of commissioning is uncertain from a timing perspective. You turn the plan on, and then you have to respond to what happens. The schedule that we've most recently updated results in, we've looked at the qualification, the commissioning and based on where we're at today, we believe that we'll reach full production in the second half of the year.
Stijn Demeester: Okay. And if the qualification process is successful sooner, there is no way to expedite that.
Michael Connor: Again, like I said, there is a certain amount of uncertainty with this and we build that into our schedule. So, theoretically, if everything were perfectly, things could get done faster. But having done this a few times, it's generally not the way it works.
Heinz Schimmelbusch: Okay. Qualification process has several stages, which include that you temporarily run full production, you stop production because you want to use the production for large scale sampling within the qualification process in order to optimize the learning process from that feedback. And then you run continuously. So, it's a very disciplined schedule, which has its own time schedule. And it has its uncertainties, which we don't believe are large, because we are operating this very experienced engineering company, which are partly doing this under an EPC contract structure. So, there is no -- it's just going through that process in a very disciplined way and that you don't extend it, you don't make it slower very closely with your customers.
Stijn Demeester: Okay. Good. That's fully understood. Now on the -- another one on the guidance the plus 130 for 2025. I mean, assuming a decent run rate in vanadium and looking at earnings in lithium in Q3 on also depressed prices. And then also taking into account some normalization in vanadium. The $130 million seems to me quite low. So even when you don't include any Bitterfeld contribution. But is there a negative contribution for Bitterfeld implied in this $130 million startup costs et cetera? And if so what's the quantum?
Heinz Schimmelbusch: No, there's no negative element implied.
Michael Connor: You can see it in our strategic project costs.
Stijn Demeester: Okay. But can you then help me understand sort of the hypothesis behind the plus 130 looking at this quarter's earnings. I mean, lithium prices are also very low, vanadium prices are also very low. I don't get where you come from a run rate of $40 million in Q3, to $130 million annualized on '25. So can you help me a bit bridge that?
Heinz Schimmelbusch: First, by nature we are cautious or we are not overly optimistic in guidance setting. We actually don't like the guidance process, but we don't want to be long in guidance. So far we have never been. So, when you start with the guidance of '24, 130, remember. There was a guidance. And then in a very abbreviated way, lithium and vanadium prices further deteriorated. And then there were positive elements. And the positive elements very prominently include antimony. And so, the negative price impacts of further falling vis-a-vis the guidance timing that I could give the state of the giving of the guidance. Further falling, these vanadium devices were compensated by positive elements very prominently, including antimony. Now we don't believe that the antimony spike will continue for reasons stated. So, if you take that away, we end up at 130 again. So, it's very simple.
Unidentified Company Representative: You have to look at the average prices as well, right? So, the price that we disclosed for Q3 was 870 per ton delivered China. If you look at our price list, you can see that spodumene is now listed at 750. Our 130 is at constant prices today, right? So, there's an implicit decrease in the lithium price baked into our 130 versus the Q3.
Stijn Demeester: Yeah. But do you also then take a stance on antimony prices or doesn't -- it doesn't work that way because that's a processing business?
Unidentified Company Representative: Antimony, we believe that the antimony profit was a one-time affair.
Stijn Demeester: Okay. There you do take a stance. Okay. Fully understood. Final question --
Unidentified Company Representative: Excuse me. That has nothing to do with [indiscernible].
Unidentified Company Representative: No, no, no. You do take a stand. We are saying that it's not repeatable in 2025, correct.
Stijn Demeester: Let's keep those out of here. Final question is maybe more philosophical, there has been a lot of negative news flow from the European EV supply chain in recent months notably as all these auto OEMs are backtracking on their EV roadmaps or shifting to LFP over NMC. Given all that is happening today, which role do you see carved out for AMG to play in the European battery supply chain in the coming three to five years because increasingly one could ask whether there is room for a viable supply chain here in Europe?
Heinz Schimmelbusch: Well, we don't see fundamental changes. If you want to see into the future, we always said traditionally that the consensus of -- the EV demand will be in 2030, will be 600,000 tons. That hasn't been revoked, this consensus estimate. Maybe it's 500,000 tons. We don't know. Definitely, our production in the first model with 20,000 tons is a very small market share in that predicted demand. So even if there are massive corrections, we are presently the only refinery in Europe. And the local refinery, of course, regionally local refinery has tremendous advantages vis-a-vis imports from China or Australia. So, I think this is -- the demand is not an issue. The issue is how large will the market actually go and we will react accordingly. So, we wait until we see patients. Presently, as we know, more than 50% of all lithium producers are below cash profitability. And you need in our view $25,000 per ton of carbonate equivalent to make investment decisions for the lithium value chain. So, I think the supply chain is waiting for a more correction in order to consider investment. That includes us.
Unidentified Company Representative: Stijn, on Heinz's last comment, you can find that on the last page of our investor presentation, page 29, which shows that 50% of the capacity is under right now.
Stijn Demeester: Yeah. Got it. Thank you. These were my questions.
Operator: [Operator Instructions] And our next question comes from Martin Verbeek from DIDA [ph].
Unidentified Analyst: Good evening. It's Martin Verbeek from DIDA [ph]. A couple of questions from my side, please. Firstly, you will -- you most completed or most of your lithium investments have been done, but still you expect a hefty $100 million CapEx for next year. Could you provide some color where you will spend this money on?
Unidentified Company Representative: So in that $100 million and we'd probably characterize it more as a range, $75 million to $100 million, I know it says $100 million in our slides. There's $25 million of residual CapEx associated with our battery-grade hydroxide plant. So that's a significant piece in the overall capital.
Unidentified Analyst: I don't hear you yet talk about this Saudi Arabia investment. When will that kick in.
Unidentified Company Representative: Sorry, which investment?
Unidentified Analyst: The Supercenter in Saudi Arabia.
Unidentified Company Representative: SARBV, yeah.
Heinz Schimmelbusch: The Supercenter in SARBV -- operated through SARBV, the Shell-AMG Recycling PV joint venture has completed its FEL3 feasibility work substantially. And therefore, we are approaching the gate of financing and investment decisions.
Unidentified Analyst: And that is to be expected still this year or will it be first half next year?
Heinz Schimmelbusch: We are not commenting on joint venture operations.
Unidentified Analyst: Okay. And then lastly, I read an article recently that one European OEM has taken a step to accelerate future electric vehicles with solid-state battery technology. Is that something which with your technology also can be implemented?
Heinz Schimmelbusch: The solid battery technology is a very broad global development effort, where we are having a significant position in the solid-state battery materials. We are, as you know, operating a pilot operation. We are expanding that. We are going into the engineering of enlarged pilot operations in this commercialization process. So, it is very important part of our development expenditures. And we are participating in a prominent role in that development.
Unidentified Analyst: Okay. But then you mentioned you are in the materials, but can your materials for the solid-state batteries be used for automotive -- for battery electrical vehicles?
Heinz Schimmelbusch: Of course.
Unidentified Analyst: Okay.
Heinz Schimmelbusch: Yeah, of course.
Unidentified Analyst: Okay. Thank you.
Operator: Our next question comes from Stijn Demeester of ICT [ph].
Stijn Demeester: Yes, it's me again. Sorry one follow-up, if I may. An investor has pointed out to me that under the final section 45x guidelines the vanadium business may be eligible for an increased tax credit. Is that the case? And could you, if so, provide a quantum of this increased benefits? My understanding it was $10 million annually to date.
Unidentified Company Representative: Yeah. So that will likely increase because as your investor noted, we have been allowed to include raw materials. We're still working through with our accountants and our tax advisers what that means in terms of quantum, but it will likely increase over the $10 million.
Stijn Demeester: Okay. All right. Thanks.
Operator: Thank you. And it appears that we have no further questions at this time. I will now turn the program back to our presenters for closing remarks.
Michele Fischer: This concludes our third quarter 2024 earnings call. Thanks everyone for joining.
Operator: Thank you. This does conclude today's AMG Q3 2024 earnings conference call. Thank you for your participation. You may disconnect at any time.